Operator: Good day. My name is Jack and I will be your conference operator today. At this time, I would like to welcome everyone to the Greif's First Quarter 2018 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Matt Eichmann, Vice President, Investor Relations and Corporate Communications, you may begin your conference.
Matt Eichmann: Thank you, Jack, and good morning, everyone. Welcome to Greif's first quarter fiscal 2018 earnings conference call. Joining us on the call today are Pete Watson, Greif's President and Chief Executive Officer; and Larry Hilsheimer, Greif's Chief Financial Officer. Pete and Larry will be available to answer questions at the end of today's call. In accordance with regulation of fair disclosure, I encourage you to ask questions regarding issues you consider material because we are prohibited from discussing significant non-public items with you on an individual basis. Please limit yourself to one question and one follow-up question before returning to the queue to allow others to ask the question. Please turn to slide two. As a reminder, during today's call, we will make forward-looking statements involving plans, expectations, and beliefs related to future events. Actual results could differ materially from those discussed. Additionally, we will be referencing certain non-GAAP financial measures and a reconciliation to the most directly comparable GAAP metric is contained in the appendix of today's presentation. And now, I turn the presentation over to Pete on slide three.
Pete Watson: Thank you, Matt, and good morning, everyone. Thank you for your interest in Greif. I'll begin today's call by providing a summary level review of our quarter that we'll discuss in further details as call progresses and our CFO, Larry Hilsheimer will expand on our financial results and discuss our forward-looking outlook. After prepared remarks we'll conduce a question-and-answer period. So, we are making steady progress toward our vision to become the best performing customer service company in industrial packaging in the world. Our trailing four quarter basis our customer satisfaction index improved by 3% versus the prior year quarter. We also finalized our latest net promoter score survey during the quarter and details on both the index and the survey can be found in the appendix of today's deck. Operating profit before special items and Class A earnings per share before special items, each improve versus the prior year quarter. Our financial results were negatively impacted by several headwinds during the quarter. In our Rigid Industrial Packaging business, we experienced lower volumes in December due to a temporary winter slowdown in both North America and EMEA. Rigid Industrial Packaging is also face rapidly increasing raw material cost and higher transportation costs created a $4.9 million headwind in both our Rigid Industrial Packaging and Paper Packaging segments. Related to the financials, during the quarter we developed a provisional estimate for the impact of the U.S. Tax Cuts and Job Acts, will have on Greif. We expect this legislation to be a long-term benefit for our company, and Larry will describe its impact momentarily. Finally regarding guidance, we are constantly maintaining our Class A earnings per share and free cash flow outlook as originally provided to you in December. This comes despite the challenging first quarter and a one-time non-cash pension charge of approximately $0.08 a share related to changes in investment return assumptions and our UK pension plan. I'll now review Greif's most recent business performance by segment and please turn to slide four. In Rigid Industrial Packaging, we experienced a challenging first quarter, we are confident in the direction the segment is headed with higher volumes in January and an encouraging performance in February. RIPS first quarter sales were $54 million higher year-over-year due to higher selling prices stemming from index price increases, strategic pricing decisions and payroll foreign-exchange tailwinds. However volumes were lower in Q1, largely due to both a temporary winter slowdown and customer downtime in RIPS EMEA and North America. Also contributing to the volume decline was a delayed start the agrochemical business impacting our plastic drum business in the U.S. Some of our higher margin substrates were particularly impacted by an unforeseen volume slowdown. RIPS gross profit margin was lower versus prior year quarter, primarily as a result of lower volumes, rapidly rising raw material prices and contractual pass-through timing and a $2.5 million higher transportation expense. And recall that our price adjustment mechanisms are designed to maintain gross profit dollars, the margin percentage declines when both raw material costs and sales price rise. We have experience substantial raw material inflation in our Rigid business, so we have not yet recovered. As an example in steel, we saw a 24% increase in raw material cost per steel drum versus the prior year quarter and a 10% increase since we set our initial guidance for fiscal 2018. And similarly for plastic, we experienced an 11% increase in raw material cost per large plastic drum versus the prior-year quarter and a 3% increase since our fiscal 2018 guidance was set. RIPS operating profit before special items decreased by $9 million year-over-year, primarily due to the same factors impacting gross profit, as well as some higher year-over-year SG&A expense. In North America first quarter steel drum volumes were flat year-over-year, while both fiber and plastic drums were both down by 3% versus the prior-year quarter. Intermediate bulk container volume grew by more than 9% versus the prior year quarter, as we continue to see that business scale from a smaller base. Volume and demand in North America has returned in January, in February volumes are very promising. Latin America delivered solid steel and large plastic volume growth in Q1 versus the prior year quarter, thanks to an improving Brazilian economy that is demonstrating some industrial recovery for chemicals and lubes. A healthy orange juice season also continue to benefit us in Q1 as well. In EMEA, steel drum volumes were flat versus the prior year quarter, intermediate bulk container volume however grew more than 9% versus prior year with particular strong performance seen in Russia, the Netherlands and Israel. Similar to North America, EMEA experience longer and unusual customer holiday closures, which impacted volumes, but helped to compensate for the shortfall we had improve manufacturing and labor efficiencies. Volume and demand in EMEA returned in January and February's volume looks very, very encouraging. Finally, APAC's first quarter steel and plastic drum volume fell year-over-year due to ongoing competitive market conditions and strategic pricing decisions we made. Intermediate bulk container volumes grew by more than 10% versus the prior year quarter. In both steel and IBC demand in January picked up and was strong versus the prior year. Please turn to slide five. The Paper Packaging segment delivered strong first quarter results with improved sales and margins. Paper Packaging generated first quarter revenue of almost $204 million thanks to higher selling prices and strong demand. Specialty sales accelerated 17% versus the prior year quarter as well. First quarter operating profit before special items grew by $8 million versus the prior year quarter aided by containerboard price increases, unit growth, more favorable OCC pricing and margin enhancement related to specialty sales growth. Although Paper Packaging delivered good results the business still weathered $2.3 million of transportation headwinds during the quarter. Finally, we announced the $50 a ton containerboard price increase across all grades effective March 1. As we continue to experience very high operating rates in a strong demand environment. We expect the price increase to be fully realized through our system in June 2018. The benefits to this price increase are not reflected in our fiscal 2018 guidance. Please turn to slide six, the flexible products team is tracking the plan and continues to demonstrate sustainable improvement. FPS generated sales of $80 million in the first quarter at a gross profit margin of 19%, thanks to year-over-year volume and pricing improvements. That improving combined with flat SG&A cost, FPS improve its operating profit before special items by $2 million versus prior year quarter. Our confidence in this business is growing and we were pleased with its pace of change, but there remains plenty of upside opportunity to capture in this business. I'd like to now turn the presentation over to our Chief Financial Officer, Larry Hilsheimer.
Larry Hilsheimer: Thank you, Pete. Good morning, everyone. Please turn to slide seven to review our first quarter financial results. First quarter net sales on a currency neutral basis were roughly 7% higher year-over-year due to strategic pricing decisions, index price changes and year-over-year containerboard price increases. First quarter consolidate gross profit rose by roughly 5% or $8 million versus the prior year quarter with improvements recorded in three of our four reporting segments. Year-over-year gross profit dollar expansion was generated by higher sales, partly offset by higher raw material cost, higher transportation and labor cost and by unexpected REPS volume shortfalls encountered primarily during December. Gross profit margin declined by 90 basis points versus the prior year quarter, primarily due to raw material inflation, lower volumes and timing of contractual pass through arrangements and transportation headwinds. On a constant currency basis, gross profit margin declined by 70 basis points versus the prior year. First quarter SG&A expense was 7% higher versus the prior year quarter, SG&A percentage of sales for the trailing four quarters was 10.4% versus 11.3% for the same period one year ago. SG&A was higher year-over-year due to two items we discussed in December. First, we experienced an increase in professional fees, primarily driven by tax reform and related planning efforts. Second, we experienced additional ERP implementation and other costs incurred in order to provide future financial benefits as we migrate towards a single platform and an enhanced shared services model. These moves will help enable the achievement of our 2020 commitments as previously discussed. First quarter operating profit before special items rose by $1.4 million versus the prior year quarter. Operating profit before special items was impacted by the same challenges I described the gross profit and the higher year-over-year SG&A expense. Below the line, interest expense declined by more than $5 million year-over-year as a result of debt refinancing activity completed in February of 2017 and lower debt balances. However that savings was mostly offset by higher year-over-year other expense, driven primarily by unbudgeted and unrealized FX gains and losses, increased pension costs related to a change in investment return assumptions and a P&L geography change for pension costs related to an accounting standard update. Tax has been a hot topic this year and we've been working hard to assess the tax reform's impact on Greif. We currently assess the one-time provisional estimate of the impact of the tax law change as a $29.1 million benefit to Greif based on reduced deferred tax liabilities, partially offset by the tax on deemed repatriation on overseas earnings. Please keep in mind that this is a provisional estimate that is subject to change. I'll touch more on tax reform in a later slide, but let me close on the topic for now by stating that our non-GAAP tax rate during the first quarter was 30.8% versus 33.1% in the same period last year. This comparison excludes the one-time provisional estimate of tax reform. Higher year-over-year operating profit combined with lower below the line cost and lower tax drove Class A earnings per share before special items 9% higher to $0.49 per share versus $0.45 per share in the prior year quarter. Finally, first quarter free cash flow was negative $81.7 million roughly $16 million lower than the prior year quarter. Lower free cash flow was driven impart by higher year-over-year capital expenditures for projects such as our multi-core bulk packaging expansion project, which is expected to become operational in mid-2018 and our new Kaluga [ph] steel drum facility that commences ramp up in June. Finally our cash conversion cycle continues to improve. Working capital days decreased from roughly 61 to 54 days year-over-year, while operating working capital as a percentage of sales improved by 40 basis points to 10.4%. Turning to slide 8, I've already touched on the estimated one-time benefit provided by the Tax Cuts and Jobs Act of 2017. The form will also provide a long-term benefit to our business and shareholders. However, it is a very complex law with many gives and takes and we continue to assess its full anticipated impact. Relative to the tax act's implications first we are revising our fiscal 2018 non-GAAP tax rate to lower to between 28% and 32%. This is our current view of the 2018 impact. However, we continue to assess the provisions of the law, their impact on us and planning opportunities. Longer term, we believe our rate should decrease further. Recall that we're still working to eliminate and or reduce tax inefficiencies outside of the U.S., where roughly 45% of our pre-tax book income is generated, which could ultimately result in a lower range. Second, we plan to take full advantage of - or take advantage of full expensing when it makes sense relative to our CapEx pipeline. We are utilizing our revised capital deployment process implemented last year to scrutinize investments for appropriate returns and tax reform won't cause us to waver from it. Keep in mind that full expensing will reduce cash taxes paid, but not our effective tax rate. Third, we anticipate additional financial flexibility as a result of tax reforms changes regarding cash repatriation. That flexibility is being paid for by a one-time transition tax on accumulated foreign earnings that will be paid over the next eight years. We currently expect to make our first payment in fiscal 2019 and will advise you of the amount as that time nears. I'll now review our updated fiscal 2018 guidance. Please turn to slide nine. We are modifying several aspects of our fiscal 2018 guidance. First, increased pension cost related to a change in investment return assumptions cause us to increase our fiscal 2018 other expense outlook range to between $15 million to $20 million versus the $10 million we previously anticipated. That increase equates to roughly $0.08 per share headwind and is a non-cash item. Second, we are reducing our fiscal 2018 non-GAAP tax rate to between 28% and 32% as previously mentioned. This provides a roughly 5% per share tailwind. The other - higher other expense and slightly lower tax rate essentially net out leaving us to maintain our fiscal 2018 Class A earnings per share before special items guidance range of between $3.25 and $3.55 per share. Capital expenditure and free cash flow guidance are unchanged. Please note that our guidance does not include impact from our announced $50 per ton containerboard price increase and it provides additional upside to our stated guidance. Finally a few additional words on cash flow. Given our strong cash position we are considering options to more fully fund our U.S. pension obligation via discretionary contribution later this year. We had already planned to make a roughly $15 million contribution in fiscal 2018, but may elect to increase that level given that a window to take advantage of a 35% rate tax deduction benefit remains open until mid-July versus a 21% benefit in the future. We are also actively seeking accretive M&A opportunities and encouraging our business leaders to evaluate other growth oriented capital opportunities. If those develops are compelling and meet the stringent requirements of our capital deployment process, we may elect to increase our pension and our CapEx spend to the extent warranted given our strong free cash flow and leverage position. Lastly as is generally the case for Greif, our consolidated financial results will be stronger in the second half of fiscal 2018 than the first half due to agricultural customer activities. Our Rigid business has - generally has a strongest operating profit before special items result in our fiscal third quarter, and we see that trend playing out again. Our Paper business should see its strongest operating profit before special items performance in the fiscal fourth quarter. Turning to capital priorities on Slide 10, as I have mentioned on previous calls that operational execution, capital discipline and a strong and diverse global portfolio position us well to execute on our capital priorities, which include investing in profitable growth and returning cash to shareholders. Our capital priorities also include advancing inorganic growth opportunities provided the targeted investments exceed our minimum return standards. At the end of the first quarter, our leverage ratio stood at 2.1, well within our targeted leverage range of 2 to 2.5 times debt to EBITDA. Our leverage ratio is typically at its highest at the end of the first quarter of each fiscal year before declining as the year progresses due to business seasonality. Although we intent to maintain our targeted leverage ratio, we would consider temporally exceeding it if a compelling growth opportunity emerges. Lastly, we are reviewing - currently reviewing additional potential shareholder returns that could be executed on as our cash balance gross and absent the existence of compelling growth opportunities. We anticipate sharing more on our thinking at our second or third quarter earnings conference call later this year. With that, I turn the call back to Pete for his closing comments before our Q&A.
Pete Watson: Thank you, Larry. Everyone could please turn to Slide 11. In closing while we experience a challenging fiscal first quarter, I'm very confident that the business will perform and achieve its stated commitments for the balance of the year. Our investment thesis and strategy remains unchanged. We'll continue to leverage our leading product shares around the world, with the short focus on customer service and operating fundamentals that will result in stronger financial performance. We are committed to continuous improvement and we'll always look for ways to drive additional value to our strategic partners and our customers around the world. Thank you for participating this morning, we appreciate your interest in Greif. Jack, please open the line for questions.
Operator: Thank you. [Operator Instructions] The first question comes from Ghansham Panjabi with Baird. Your line is open.
Unidentified Analyst: Hi, good morning this is Macry [ph] here sitting in for Ghansham, how are you doing today?
Pete Watson: Hi, Mac. How are you?
Unidentified Analyst: Good, good. So my first question is given the significant raw material inflation that you cited in your new release, can you update us on a timeline for recovery from a price cost prospective? Is it possible for you to completely recover given the substantial raw material increases during fiscal year 2018 or will you need more time on that front?
Pete Watson: It's a good question, I'd say if I had perfect clarity and was a savant [ph] on where raw material prices are going I probably wouldn't be sitting in this chair I'd be a commodities trader and making lots of money. But that said, we obviously have a view on raw material prices. And while we do see them continuing to trend upward short-term, we believe that they will mitigate. Now the entire train tariff discussions going on in the U.S. federal government, will have some impact on that. But we ultimately will catch up. And maybe let me talk about that a bit, as you know our PAM [ph] contracts, which apply for a majority of our business in our Rigid sector at a very high level provide for us to pass through raw material cost increases. That normally if you think of it as a curve as things are going up and you start to curve to get more flat, you usually catch up. What's been happening though is we've had a continuing acceleration of the price increases, so it's delaying that catch up process. So our belief is that we will catch up over the remainder of this year and you'll see the benefits of those PAM provisions kicking in. But of late the pricing - the cost increases on the raw materials have been accelerating at a pace that the incremental price increases on our product have not been overtaking the cost increase on the raw materials to-date. But we will catch up it always does it's just a matter of timing on the provisions and when they fall.
Unidentified Analyst: Okay, that's helpful. And then thinking about the economy more broadly, can you talk about your view of the global economy, while touching on some of the expectations that are embedded into your fiscal year guidance? Any help from a demand and then a costs perspective by region would be helpful.
Pete Watson: Yes, sure Matt. This is Pete. So again, in our Rigid Industrial Packaging business, which is global as we've talked about, our demand was really unusually slow in December, but January was strong and February is very, very encouraging as a backdrop. So I'll walk through high level comments in the four regions. So North America, the Midwest region right now has a strongest demand we've seen through the quarter, and looking out to February that's really driven by paints and lubricant market. The Gulf Coast is where we experienced weaker demand during the quarter that has changed in January and February. But the phenomena on the Gulf Coast early in our quarter was really about small packaging have a lower use of our specialty chemical and chemical customers and a higher use of bulk shipments. We had delayed in ag-chem in that region, which impacted our Gulf Coast and plastic packaging. And if you look at the West Coast, which we have a predominant fiber drum use, we had higher demand in extended food season. If you move to Latin America, Brazil saw a much better volumes in the quarter versus prior year. And we've really seen an improving industrial sector there. And we also benefitted from a longer orange juice season. Argentina also saw improved volumes as it relates to strong ag-chem markets. I will be a little cautious, that's been a volatile market we've seen improvement in the last three quarters. And we're encouraged with the progress we're making there. In EMEA and I'll talk about steel first, because it relates more to our end use markets. Central Europe, Eastern Europe we're really flat year-over-year, mainly impacted by December. Our IBC business was extremely strong throughout the quarter, Netherlands and Russia and Southern Europe mainly Italy experienced really low demand throughout the entire quarter. But January is a much different picture. So the paints and coating sector and lubricants and improving industrial sector really kicked in, in January. Our demand picture in EMEA was really a strong and as an example Eastern Europe was up 10% in January, Central Europe, the Middle East and North Africa volumes were up 3%, and South Africa has really struggled in the past two years, saw double-digit increases year-over-year, and our February volumes really mere that same type of demand activity. Our IBC business again is very strong and will continue to be strong as we're growing from a lower position and as we grow our network out we're seeing really positive growth. APAC is a different story. So there is really two areas in APAC, I'd like to talk about. One it's the volumes in Q1 versus January volumes. So overall in APAC for the quarter demand was down 8.2% in steel, but January recovered we're up 6% for - versus prior year. The second story really is a difference between China and the markets we participate in, in Southeast Asia. So we have much stronger demand in Southeast Asia really driven by higher lubricant demand and some of our strategic customer growth is healthier than the market. In China, we had double-digit demand loss. And it's really resolved a couple of things. One, as we've mentioned in former calls, we lost two large global accounts due to strategic decisions we've made on pricing because of low margin business and that was our choice. And then the second, there is a much more highly competitive market environment in China there is a lot greater number of independent privately owned companies and at this point due to the inflation and due to some market realities it's just a much more highly competitive pricing environment. If you look overall what's really important distinction is there are two largest businesses North America and EMEA had really good demand, improving demand in January and much better demand in February. So we're very, very encouraged with our volumes position. I will tell you we have lost no share with customers, and I'm very optimistic about what we will do in the second quarter and going beyond. One comment about North American paper packaging, our volumes at the mills were very strong throughout the quarter. Today our backlogs are extremely strong with high customer demand and our mill production rates are exceptional. CorrChoice which is our corrugated converting volumes were flat versus prior year for the quarter, which was again strong comps and our December volumes were really impacted in CorrChoice by the winter slowdown, but January proved to be very good month and our volumes grew 3.1% over a year ago and again our specialty sales through the quarter improved by over 17%. So again encouraged with the outlook in Paper Packaging and the end user markets that we serve in that business as well.
Unidentified Analyst: That's great, thank you for all the detail. That's it from me.
Pete Watson: Thanks.
Operator: Your next question comes from the line of Chris Manuel with Wells Fargo. Your line is open.
Chris Manuel: Good morning gentlemen. Just, I guess, two questions first really comes back to the same that I think Mac just asked a little bit about raw material and kind of catch up stuff, as well as kind of freight logistics. So kind of the mechanisms as you work through and I know you mentioned you work to offset margin dollars not percentages so maybe how you want to frame it. But how much were you behind in this first quarter when you look at the raws component and I guess that's the first piece. And then the second is are you - if you're still seeing inflation in raw materials particularly steel as we're progressing here in the second quarter are you anticipating still being behind in 2Q and then that's catching up in three, four. So I guess my question is how are you seeing the cadence and pace for the raw stuff and then how do you offset logistics or is that something that you just kind of have to live with and get periodically?
Larry Hilsheimer: Yes, Chris, it's Larry. I'll try to help a little bit more on the raws and where we are and how we see that catch up playing out and Pete will have some comments maybe on the transportation, the things that we're proactively doing to address that piece of the margin equation. And let me use steel as an example, if I look at just on a per unit basis on a global scale to give you some perspective we've increased our per unit cost, per drum on a global basis by $2.87 per drum year-over-year. Our price is up $3.18, so obviously with increased price for but our percentage cost increases 23.6 and our price increases only 14.8%. So clearly the margin percentage is shrinking and the dollar difference we'd like to make on each drum while it's gone up slightly, we'd like to see that change and that's just because the increased cost raw material per drum has been accelerating. So - and I don't have the exact numbers here but let's just say that it was $0.70 in the first quarter and then it was $0.80 and then it was $0.90 it moved up. So because the price adjustment mechanism is one that trails here if you go up more in the next quarter or so if you went up $0.70 and it gets run through in the next quarter you're still falling behind. And you don't start to catch up until that cost curve starts to curve down and flatten or at least slow the pace, so that you start catching it. So that's what my comment was about; A, if I really knew exactly where steel prices are going to be in the next 30 days, 60 days, 80 days I can make a lot of money as a commodity trader. We expected to start to slow down the pace and curve and catch up and we have seen a little bit of that happening in our margins getting better in January and we believe they will in February. So we are optimistic it's going to start to turn and we believe throughout the year, it will catch up exactly when it plays out and we totally catch up, I don't have total clarity on that at this point. Is that responsive?
Chris Manuel: To an extent, I mean, just really what I am trying to understand though is you are still behind as you sit today, you are still seeing inflation in steel, so you are still going to be behind likely to through the next quarter. And then it's just anyone's guess as to when it flatten outs, is that?
Larry Hilsheimer: And part of it is what it's not - yes I guess it would be a guess at some level, but we started to see a catch up in January, we believe we will in February. And if we don't see dramatic spikes continued high inflation we will catch up through the second quarter and into the third. The wild card obviously for us the big deal is what's going on with the present and whether you decides on the whole tariff situation as well have an impact on us.
Chris Manuel: Okay, that's helpful. And then Pete on the logistics?
Pete Watson: Yes, so here I think everybody understands the market environment you got capacity issues both on equipment and drivers, you've got diesel fuel and all of the line hall indexes you look at whether it's in Europe or North America they are rising dramatically in the U.S. the cast trucker line hall at an all-time index high. And this is not at short-term phenomena this as we all know has been an ongoing issue. So, I think more important the things we are doing to try to mitigate it and we have been doing it for period of time as we are expanding our dedicative fleets and equipment and trying to resolved some of the capacity issues we have, and that includes trying to be very diligent in finding good qualifies drivers. We are executing on a transformation network optimization in the regions where if high cluster concentration and making sure that from a network standpoint we have the lowest cost rate to delivered to our customers. And then we are also attempting to capture added costs and price adders on a temporary basis and I think while that's tough to handle in inflationary period I think it's very necessary one of the necessary steps that you have to take because it is very extreme at this point. So any other questions regarding that, Chris?
Chris Manuel: No, but - okay that's very helpful. And then I guess my follow-up for my second question was with respect to the volumes stuff I appreciate the color there, but you didn't actually give us - you gave us numbers for most of the regions just not North America. Could you maybe give us a sense of the magnitude from December, January what - or January, February what you are seeing thus far for the swings even if at a high level if it's just North American drum business?
Pete Watson: Yes, so if you look at December versus January, the increase in January steel numbers are up a percent and percent and half in steel in January versus prior year that volume has dramatically rebounded in January we had much higher growth in APAC and EMEA. And then our IBC business it had 7.5% improvement in RIPS in North America for IBCs, EMEA was 20%, and APAC was 7%.
Chris Manuel: Okay. So it sound like we are back to kind of overall North America business being up low single-digits then in January, February on a year-over-year basis?
Pete Watson: Yes.
Chris Manuel: Okay, thank you. Good luck guys.
Pete Watson: So if you look in January what we see in February Chris, it really aligns what we gave guidance back last call your steel and plastics are middle - or low to single mid digit growth and IBC is low double-digit growth.
Chris Manuel: Okay, thank you guys.
Pete Watson: Yes, thank you.
Operator: The next question comes from the line of Mark Wilde with Bank of Montreal. Your line is open.
Mark Wilde: Good morning, Pete and good morning, Larry.
Pete Watson: Hey, Mark.
Mark Wilde: Can we start just on a couple of elements over in the Paper Packaging business, one is the OCC costs, which so far this year are coming in lower than I would have expected and I wonder if you could update us on that? And then also benefits prospectively from this $50 price increase?
Larry Hilsheimer: Yes, so, Mark we - what we have right now is - you are right, I mean, obviously OCC has stayed down and we have it in right now 97, February and March. And then going back up to the 160 assumption that we had that's just what we've got for the rest of the year played into our model. So hopefully that's helpful for you guys in terms of understanding what's built into our guidance. And then…
Mark Wilde: So, Larry, I think is that a lower full-year assumption of OCC costs than you would've had the when you first provided the guidance.
Larry Hilsheimer: Yes, and so now it's more like an average of 137 for the full-year.
Mark Wilde: Okay, versus one like 53 before.
Larry Hilsheimer: 152, yes 152.
Mark Wilde: Right and then the price?
Larry Hilsheimer: I'm sorry.
Mark Wilde: The potential benefit from the price increase.
Larry Hilsheimer: Yes, we think if you play all that out the price and when it goes through for the entire year, it's going to be somewhere between $25 million to $35 million lift for us in our paper business. We expect the price increase to be fully implemented by June.
Mark Wilde: Okay, that's helpful. Then for my follow-on, I wonder if we could just kind of toddle over and get [technical difficulty] M&A activity and the pipeline. And I'm particularly interested in whether you would consider something of real size here because it sounds like that's kind of what you're hinting at when you talk about you know prospectively being able to use kind of assets like some of the land to help fund acquisitions.
Pete Watson: Yes, Mark, this is Pete. So our pipeline is good and it's building and our pipeline includes both capital expansion projects, as well as acquisitions and it's predominately as you know it's in steel drum and plastic packaging and it could be closures, it could be IBCs and reconditioning service or small or large plastic drums and paper packaging where it's really converting assets that would help integration. So we are happy with where we are - we have a good due diligence process to ensure we make good decisions as you know the M&A environment is pretty chirpy right now for good assets and we understand that. In regard to your question on large acquisitions, we are not afraid to do a larger acquisition. We have a good strong financial base and a strong balance sheet. And at this point using land as a capital lever we don't think we need, but we've talked about it before that's a strategic optionality, but again we don't think that's necessary at this point.
Mark Wilde: Okay, that's helpful. I'll turn it over. Thanks, Pete.
Pete Watson: Thank you, Mark.
Operator: Your next question comes from line of Justin Bergner with Gabelli and Company. Your line is open.
Justin Bergner: Good morning, everyone.
Pete Watson: Hey, Justin.
Larry Hilsheimer: Hey, Justin.
Justin Bergner: Hi. First off, on the $29 million tax benefit, could you breakout the repatriation liability within that, I am not sure I saw that.
Larry Hilsheimer: Yes, we had $65 million [ph] of a benefit from the restatement of our deferred tax liabilities Justin. So good guy and then a roughly $36 million repatriation tax estimated at this point for the repatriation element that then would be paid out over eight years from a cash perspective beginning in 2019, on an increasing basis over that eight years.
Justin Bergner: Okay, great, thank you. As I look at the Asia Pacific region where volumes are sort of challenge and you are walking away from business. I mean, could you sort of size the Asia and or China RIPS business for us from a sales point of view, just to get a sense as to what type of headwind it may continue to be. And, I mean, are the margins there very slim in general such that even though you're losing volume there the effect on EBITDA is lower.
Pete Watson: Yes, Justin, so in that region in APAC, you are less than 10% of the overall volume in the company and in regard to the size difference between China and Southeast Asia it's about 50-50. I will let everybody know, we had really good results in the past three years in APAC. And it's a really good disciplined team, we have had margins squeeze. But the results are still acceptable to us. It's not a dire situation; it's just our expectations and our standards. We're trying to make the most out of our assets there. And we have a good pipeline of activities to replace that business. But again, as I mentioned, you had two large global customers that we decided to walk away because of strategic pricing and you just can't make that up with a snap of a finger, you make it up with 10 or 15 type of accounts that make that up. So we're making progress, January was positive. And - but it is a competitive environment, always will be always has been, but we have a good leader there. They know how to operate and we're confident that over a long haul there is really good return in that market for us.
Justin Bergner: Okay, that's helpful. And then lastly, it seems like from what I've heard before at Investor Days, that Greif is somewhat over indexed to steel drums relative to the industry at large. If steel prices go up and if we do experience these import tariffs. What does that mean strategically for your business and the potential for substitution where applicable to other substrates and the need for Greif to consider at least in North America sort of switching its mix of business?
Pete Watson: Yes, Justin, that's a really good question. So we are working to diversify our rigid portfolio. So we are growing our plastics business we're growing our IBC business. We are not actively investing in steel drum businesses unless there is wide space that we are not currently in and it's strategically aligned to some of our customers. And we are doing more activity to consolidate our footprint and become more efficient. So in regard to migration as steel prices go up, there are some products that can only be packed in steel drums because of the hazardous nature of it. It's not applicable to be packed in plastic products. With that said, there is ways that we can minimize take cost out, lighter gauge, more effective supply chain, different designs. There is different styles and products in steel drums. So it's just not always a 55 gallon commodity drug. There is smaller drugs, there is specialty drums. So we're actively looking at expanding our conical drums and our specialty smaller drums. The risk is some of that product could be shipped in bulk shipments, and that's more relative to commodity chemicals as appose to specialty chemicals. I think another risk as it relates to Section 232 not only for our steel products but steel products in general. If you had a significant increase in raw materials it makes all steel converted products go up. Are you at risk of people shipping steel products of all kinds into a region and making your end product not competitive and it kind of has a reverse effect on Section 232. In regard to steel drums that's not a big threat because of the transport cost and your shipping air. But on smaller products that could be a factor outside of our industry. Does that help, I answered that question?
Justin Bergner: Yes, that's very helpful. You wouldn't disagree with the statement, I think that's consistently I said before that you're modestly over indexed to steel versus other substrates.
Pete Watson: Yes, absolutely. And then part of our strategy is to grow in the plastics business. So we are more balanced and we have more diverse products to sell to our customers.
Larry Hilsheimer: The one thing I would add to it though, I guess Justin, is that product migration has been going on for a long time. And while there is always risk for further migration if the cost of the medium goes up, we don't think the exposure of migration is nearly as significant as it was several years ago. Because a lot things have migrated already that can migrate either IBCs or plastics back to the reason that Pete stated. A lot of these products just can't be put in those other type of containers.
Justin Bergner: Okay, thanks Pete, thanks Larry.
Pete Watson: Thank you Justin.
Operator: Your next question comes from the line of Kurt Siggers with D.A. Davidson. Your line is open.
Kurt Siggers: Good morning, everyone.
Pete Watson: Hey, Kurt.
Kurt Siggers: I was wondering if you could talk about the magnitude of the price cost headwinds relative to the different products within RIPS, it seems like steel drums probably had the most significant headwinds. And then perhaps negative mix impact from fiber drums any color on that would be great?
Larry Hilsheimer: It's a very good question Kurt and I would say that the - yes, steel has been the most impacted, because of the continually accelerating cost increasing a path for us, and particularly for this first quarter there was another item we've mentioned often in the past that we have a - we're very pleased with our sourcing group and they are very good at opportunistic buying opportunities from time-to-time. And in the year ago first quarter we had - so $4.9 million of good guys on sourcing this year it was $2.5 million, so you got a $2.4 million difference on margin and that was all in steel. So, that sort of made that equation even more challenging for this year's quarter and perhaps why steel is the most influenced at least in this quarter we don't anticipate that same kind of differential on a go forward quarters. Although we'd obviously be hopeful that our sourcing guys can end up picking up something here and there that might be on the beneficial side. But the spread on steel, just I gave you some example on steel price year-over-year just for a perspective, I mean, on IBCs for example relative to plastic, which is kind of indicative the year-over-year cost percentage increase per unit is 12.9% and our year-over-year price increase is 12.4%. So that one is pretty close on large plastic drums with all in, it's an 11.3% cost increase and a 9.7% price increase. So that's just the phenomenon of why the prices have been increasing they've not been increasing at the accelerated pace as we've seen in steel. So presumption is right, but again as this pass-through provisions apply, eventually those things turn around for us and we're starting to see that in January and we believe in February as well.
Kurt Siggers: That's helpful. And then my follow-up question would just be moving to paper packaging we've heard some anecdotes regarding tight medium supply in the market are you seeing any sort of incremental pricing or mix benefits on top of the price hike given your medium heavy systems.
Larry Hilsheimer: Yes, so demand is very tight and it remains tighter as we look out into the future for our backlog. There was a $30 increase in medium only back in the fall that was executed in our mill system. And so any other specific pricing initiatives we may do are really confidential with customers, but it's a really good market now and we are very favorable to what that future has to offer for us for the balance of the year.
Kurt Siggers: Alright, thanks guys.
Pete Watson: Thanks, Kurt.
Operator:
. :
Adam Josephson: Pete and Larry, good morning.
Pete Watson: Hi, Adam.
Adam Josephson: Hey Pete, Larry. Just one question on the containerboard increased sensitivity maybe I'm doing my math wrong, but I think you said it could be a $25 million to $35 million benefit this year, if I just look at the tons you produce close to 800,000 a year multiply that by $50, I get to an annualized benefit of a touch under $40 million. So if we would have five months of that this year that would be a $16 million benefit from what I can tell not a $30 million benefit. So what am I doing wrong there?
Larry Hilsheimer: Yes, we're passing through, I mean, also all of our the OCC benefit to us on that for the full year I was - maybe I wasn't clear on that Adam is that between the OCC benefits and the price increase the year-over-year for the year would be the $25 million to $35 million.
Adam Josephson: In other words, the potential benefit from the 50 plus the benefit from $15 a ton lower OCC that you're now assuming for the full year.
Larry Hilsheimer: Yes.
Adam Josephson: Okay. So that combined is $30 million, okay.
Larry Hilsheimer: Yes, that clarified my comment from earlier.
Adam Josephson: Okay, no I got that. And just on the whole topic of inflation again, I think, if I go back 10 years to 2008 there was heavy inflation, the company prospered because demand was really, really good correct me if I'm wrong there. And since then inflation has been more of a mix bag for the company in terms of your ability to generate higher profit in an inflationary environment. How would you characterize how the company generally does in inflationary environment? And is inflation good or bad for the company or how has it been historically, I know 2008 was good but again otherwise it's been pretty mixed?
Pete Watson: Yes, this is Pete, Adam. So I think inflation is a good thing as long as it is controlled inflation, I think when you have rapid rise of raw materials the challenge is in our price adjustment mechanisms is to capture that. So if you look at the higher the degree of slope and the pace is fast then that interferes to our ability on rigid to recover according to our price adjustment mechanisms. If it is a steady increase and is not as rapid in regard to timing then I think that is a very, very favorable market position for us, because inflation typically tells you demand is good, but for general purposes. So I would much rather operate in inflationary period that's controlled, I'm okay operating in a volatile increasing raw material, but I think we all have to understand that the price recovery because of our price adjustment mechanism takes time, but we eventually will catch up.
Adam Josephson: Thanks. Just one related question, which is one would assume that an improving economy is obviously good for you just given your economic sensitivity, but if it's a company by significant inflation it obviously dampens the benefit of an economic recovery, right? And I guess again it just blows down to whether the inflation is steady or significant and what you're saying is right now it's significance so you are not - it's hard to see the benefits of this economic recovery when you have pretty substantial inflation it would be hard to know when you would see the benefit of that, is that a fair comment?
Pete Watson: Yes, it's all timing. As we said the slope at least from our perspective our price recovery is based on timing and the degree of slope. And you got to remember too in our Rigid business we have a fairly narrow end use focus. So it's not like if you're in a box business you have a pretty broad end use market, we have a pretty narrow focus. So, the activities that are really positive in some parts of the economy don't always play out in our specific end used markets. They do sometimes, but not every single time.
Adam Josephson: Right. Thank you, Pete.
Pete Watson: Yes, thank you, Adam.
Operator: Your next question comes from the line of Dan Jacome with Sidoti & Company. Your line is open.
Dan Jacome: Hey, good morning. How are you?
Pete Watson: Hey Dan.
Larry Hilsheimer: How are you doing?
Dan Jacome: Hey. Just had a couple of questions can we get an update on the new triple wall facility you're building. And then specifically I'm just trying to figure out like how integrated will you be with your board in totality when that's done? And then do you have a number you can give me on how much your speed to market might improve? That was my first question.
Pete Watson: So the timing of that the equipment is in place today, they're running trials. We expect to be fully operational by April and that's probably conservative. But they are doing trials now that will gain from an integration standpoint 35,000 to 40,000 tons of incremental integration for our business, and how that impacts our ability to go to market. So our strategy is shorter lead times three to five days as oppose to what's the industry norm is for that type of product. And it just doubles our capacity. So it will improve our ability to serve customers faster with less inventory and grow in a very profitable niche segment. So we're excited about it. We were in good shape from when we expect to kick it off and we'll look forward to keeping you updated Don on results and progress of that.
Dan Jacome: Okay. So what is the industry norm for the lead times?
Pete Watson: It depends on the season, so an ag season could be two weeks, it could be a week, really, really different. So again our value proposition is shorter lead times, higher responsiveness, and that's part of the reason we've grown that business so fast.
Dan Jacome: Okay, great that helps. And then my second question on FPS, just going forward how much of the EBIT, because you are doing a nice job on the EBIT line there I see on a sequential basis going forward how much of the operating profit up size is going to come from G&A improvements? And then how much do you think you can get from further manufacturing footprint rationalization if that makes any sense in there.
Larry Hilsheimer: Yes Dan, what I would suggest is that we believe that this is fully on track to the commitments that we spelled out in June and that lays out both the SG&A side and the operational improvement. There is some continuing rationalization of our operational footprint as we move to this more this away from the hub and spoke model to the more distributed model we have reduced our reliance on production in Turkey, from I think feed 62% to 35% of our production. So we believe we have substantially mitigated the risk in that operation and Hari and his team are doing an excellent job in the market, our customer service index scores there have just dramatically improved and we are receiving a response from the customers that's enabled us to go to market together with our Rigid Group, which is very powerful. So we are very bullish on our business right now and very confident of achieving the objectives that we laid out in June.
Dan Jacome: Okay, great. Good luck for rest of the quarter.
Pete Watson: Thank you.
Operator: Mr. Wilde your line is open
Mark Wilde: Thank you. Pete just a couple of follow-ons, one your biggest competitor in RIPS changed hands about 18 months ago, and I wonder have you seen any changes in behavior since that occurred?
Pete Watson: No, we have not Mark.
Mark Wilde: So, you don't - you have no sense of that may there picking up or losing share in the business?
Pete Watson: Not on a broad basis.
Mark Wilde: Okay, alright, that's helpful. And then finally can you just update us on kind of the reconditioning business and some of the stories that have been in the press over the last couple of years there.
Pete Watson: Sure so, strategically as we have talked about we - our higher value opportunities in reconditioning is in the IBC, and IBC reconditioning services business. So strategically we are growing and examining how we grow that side of the business there is much more value in that than there is in steel drum reconditioning. But just a real quick update on our reconditioning business called Click'm in the U.S. there is nothing significant material to discuss, but the open matters at those three container lifestyle management facilities in Milwaukee relate to state and federal and environmental regulators. We work very closely and corporately with those regulators and we are addressing and resolving issues. We continue to host a variety of local politician and neighbors and show them our facilities, which they find are very, very different from what they read in the newspaper. I'd will also point out the duration of this theme is as a result of some political pressures we have stated that before. I will tell you we are in full compliance with all of our disclosure requirements, we are not perfect, but again how we operate from an environmental standpoint in those facilities are very different from what the public is reading in the newspapers.
Mark Wilde: Okay, that's helpful, Pete. Good luck in the next of the year.
Pete Watson: Thank you very much, Mark.
Operator: This concludes the Q&A portion of this call. I will now turn the call back over to Matt Eichmann.
Matt Eichmann: Thanks a lot, Jack. Thank you for joining us this morning we hope you all have a good week ahead and a good month of March ahead. Thank you.